Operator: Good afternoon, ladies and gentlemen, and welcome to the Nanalysis Scientific Q2 2025 Conference Call. [Operator Instructions] This call is being recorded on Thursday, August 28, 2025. And I would now like to turn the conference over to [ Mr. Jake Bouma ]. Thank you. Please go ahead.
Unidentified Company Representative: Thank you, operator, and welcome to Nanalysis Scientific's Second Quarter 2025 Conference Call. Before we begin, I would like to remind everyone that our remarks and responses to your questions today will contain forward- looking statements that are based on current expectations of management. These assumptions involve inherent risks and uncertainties that could cause actual results to differ materially from our responses. Certain material factors and assumptions were considered and applied in making the forward-looking statements. These risk factors are included in our filings for the 6 months ended June 30, 2025. Forward-looking statements on this call may include, but are not limited to statements and comments with respect to future growth of the company's business, the ability to graduate to a senior exchange, the company's acquisition strategy, the ability to develop future products and the possible associated results. The company's actual performance and financial results in the future could differ materially from any estimates or projections of future performance implied by the forward-looking statements. The forward-looking statements made on this call speak only of today, and Nanalysis Scientific assumes no obligation to update such forward-looking information as a result of new information, future events or otherwise, except as expressly required by applicable law. For additional information, I encourage everyone to review our public filings and press releases, which are posted on SEDAR filing system at www.sedarplus.ca. On this call with me today are Nanalysis Founder and CEO, Mr. Sean Krakiwsky; and Nanalysis CFO, Mr. Randall McRae. With that, I would like to turn the call over to Nanalysis CFO, Randall McRae.
Randall McRae: Thank you, Jake. It's a pleasure to join and speak with everyone on the call today. I'll first dive into the financial results for the second quarter, which ended June 30, 2025. All amounts referenced are in Canadian dollars. Financial highlights for the 3 months ended June 30, 2025, for the 3 months ended, the company reported consolidated revenue of $9.6 million, a decrease of $1.9 million or 16.5% from the comparative period in 2024. This decline was primarily driven by lower product sales as ongoing global economic uncertainty and tariff risk continue to constrain customer capital budgets globally. Within the Security Services segment, revenue increased modestly by 9.9% year-over-year, driven by an increase in both service revenue and flow-through inventory revue. Gross margin percentage on product sales was 61% versus 50% for the 3 months ended June 30, 2025, over 2024. Continuous improvement efforts have resulted in significantly improved margins over the prior year. Security Services gross margin percentage in the quarter was 10%, which was the same as the prior year comparative period. The company has initiated a continuous improvement program in its processes to better manage cost of Security Services, including better scheduling, improving logistics processes and managing overtime and on-call hours. This has resulted in an improvement in margins of 4% over the first quarter of 2025, and the company expects to continue to see margins improve for the remainder of the year. Adjusted EBITDA loss for the 3 months ended June 30, 2025, was negative $462,000 versus an adjusted EBITDA profit of $759,000 in the same period last year. This was primarily the result of the drop in scientific equipment sales in the quarter. Net loss was $2.1 million for the second quarter of 2025, which is an increase in loss of $127,000 over the same period in 2024. This increase in net loss was due to lower revenues from scientific equipment sales, offset by lower depreciation, stock-based compensation and the fact that losses from associates are no longer recorded in the consolidated statement of loss and comprehensive loss due to the impairment of the QUAD investment in 2024. For the 6 months ended June 30, 2025, the company reported consolidated revenue of $20.2 million, a decrease of $2.5 million or 11% from the comparative period in 2024. This is primarily the result of a $3 million decrease in product sales, offset by a $652,000 increase in Security Services revenue. Gross margin percentage on product sales was 64% for the 6 months ended June 30, 2025, up from 49% in the prior year. Continuous improvement programs have led to significant improvement in margins in scientific equipment sales for the 6 months ended as well as for the 3. Gross margin percentage on service revenue was 8% for the 6 months ended June 30, 2025, compared to 9% in 2024. The company has reversed its margin decline from Q4 '24 and Q1 2025 and looks to continue growing margins for the rest of 2025. Adjusted EBITDA loss for the 6 months ended June 30, 2025, was $282,000 versus adjusted EBITDA of $655,000 for the same period last year. The drop was primarily due to the $3 million decrease in product sales. On June 12, 2025, the company closed a fully subscribed private placement of unsecured promissory notes for gross proceeds of $2 million. The notes bear 12% annual interest payable in cash or in common shares of the company. In connection with the financing, the company issued 1.6 million common shares at $0.25 per share to the lenders, representing 20% of the principal amount. Net proceeds will be used for general working capital and to support ongoing operations. Subsequent to June 30, 2025, the company was able to negotiate an extension and 6-month holiday on its interest-free loans from the government of Canada. With that, I'll turn the call over to our Founder and CEO, Sean Krakiwsky. Sean?
Sean Krakiwsky: Thanks very much, Randall. Q2 was a challenging quarter for the company as we navigated difficult macroeconomic conditions. This has resulted in materially lower product sales revenue in the 3- and 6-month periods compared to what we expected going into 2025. We continue to maintain that we have a strong sales funnel and that much of the business not closed in Q2 has not been lost, but rather pushed into the rest of 2025. I'll give a brief overview of each of our business units. Firstly, with regards to Benchtop NMR, we continue to be very enthusiastic about the potential of this product family, which is, of course, the res on debt for our business. We're seeing excellent traction with industry customers, and we still feel like we're in the first or second inning of a 9-inning game with regards to the potential of that product family. We continue to incubate our MRI business unit and leverage our electronics and software platform that we use in Benchtop NMR. We worked on several exciting custom projects in the medical imaging space, maintaining partnerships, creating new partnerships, continuing to establish scientific credibility for our contribution in that area of medical imaging. We expect some interesting announcements about that part of our business in the near future. With regards to high-field NMR and our investment in QUAD systems in Switzerland, the company continues to make progress with regards to the go-to-market strategy. They, as I said in previous calls, have an excellent commercially viable product, and they continue to see customer traction, including with customers in Canada, by the way, which we'll make announcements about in the near future. So again, another example of how we're leveraging our core technology and then how MRI and NMR businesses reinforce one another to create scalable global growth opportunities. With regards to our third-party equipment sales, as I've been saying for several quarters now, that's part of our business that we are phasing out intentionally so. And so examples of that part of the business were the reselling of Agilent equipment and also the reselling of a European company's equipment called Mediso. We will see material revenue from those initiatives in 2025, but I expect that revenue to go away as part of our plan in 2026, and I'll continue to keep investors abreast of that activity. The main reason for starting to ramp down those initiatives are that we want to focus in on our proprietary Benchtop NMR products that have very high gross margins, as Randall mentioned, roughly 60% and where we control our own destiny, whereas third-party equipment sales constitute sort of defocus from our main objectives and also the margins tend to be lower. With regards to our services business, we're very proud of the changes that we've made recently. As I've mentioned, we hired a new head of that business unit, Marc Tomlinson, who's made a lot of necessary changes specifically to the large CATSA project, which you're all aware of, whereby we are responsible for servicing and maintaining the imaging equipment in over 80 airports in Canada, but also implementing a sort of scalable DNA into that business unit that's going to allow us to grow it over time. And so very happy with the changes that have been making, which we expect to bear fruit very shortly. As Randall mentioned, we expect significantly improving gross margins in that side of the business going into the third and fourth quarters and then, of course, growing the overall business beyond just the single contract in the future. With regards to an outlook of our business, I'd like to say that, again, we have faced some uncertainty recently because of the well- publicized macroeconomic conditions. But we remain very positive and enthusiastic about the potential of our business. Although it hasn't shown up in the financials recently, we are seeing significant progress with regards to products, with regards to customers, application traction and indeed aspects of our services business. So my outlook remains positive. We're committed to staying the course and getting through these challenging times that are associated with the uncertainties in the United States. We'd like to thank very much our loyal employees who are working hard to keep us on the path of progress despite these challenging times. Similarly, I'd like to thank our shareholders who have committed their precious capital to our company, which indeed allows us to stay the course and persevere towards profitability and future prosperity. And now I'll turn it back over to the operator for questions.
Operator: [Operator Instructions] There are no questions that came through. I will now turn the call back to Mr. Sean Krakiwsky for any closing remarks.
Sean Krakiwsky: Thank you very much, operator. And thank you to everybody who took the time to attend this call. We really appreciate it, and we look forward to more opportunities to speak with you in the future. We hope everybody has a wonderful last few days of their summer, and we're excited about the continued narrative that we're going to be able to communicate with you in the last 3 months of 2025. Thank you very much.
Operator: And this concludes today's call. Thank you for participating. You may all disconnect.